Operator: Ladies and gentlemen, thank you very much for waiting. Welcome to the teleconference of Eletrobras. Well, to talk about the results we head into Third Quarter of 2018. We inform you that everybody will be just listening to the teleconference throughout the presentation, thereafter, we will start the Q&A session and more instructions will be made available. We remind you that this presentation is available in PPT in the website at Investors Relations in our Eletrobras [Operator Instructions]. Before we continue, we would like to highlight that anything that might be said during the conference call regarding the perspective of business of the company's projections, operational goals, and financial goals are beliefs and premises of the Directorship of Eletrobras, as well as information available currently available or based on information currently available for the company, by the company. And there is risks and uncertainties and therefore we depend on circumstances that might or might not occur. Investors have to understand the economic general conditions and other factors, operational factors might influence end results for the future outcomes. Now, I'd like to give the word to Mr.Wilson Ferreira Junior, President of Eletrobras. The floor is yours?
Wilson Ferreira Junior: Thank you very much, thank you everyone, investors, analysts that accompany us for the results of the third quarter of 2018. We will start the presentation by Page 4, where we have flew the disclaimers, where we show -- well, let's talk about the results of an important variation in regards. I want my team to point personally to our generation, transmission and distribution, Slide number 4. As you can see in the tables in front of you, there is a great variation in the value of the energy sold for the free markets. Well, a variation of 37.5% in the free market minus 34% in energy sold while the main market for us, the regulated market, there is a drop in 11%, and throughout the presentation you will realize that certainly in terms of transmission, we have variation as well with the same relevance. When we compare the assets, our confessions renewed for 2018. In 2013, there is a drop of 9% on average in some such as Chesf and Eletrosul. There is the failed safe switch established by the agency, well, you can see minus 26% in Furnas, and fess [ph] and distribution we have variation positive on variations, in revenues, specifically -- well, some highlights actually of Boa Vista and Amazon as you can see 13.9% and 15.5% respectively but there is the readjustment of the tariffs growing in a value of 38% in all. But this is just to give you an initial demonstration of the volatility of the market of generation, transmission and distribution; and you have to realize that generation, you have the main -- while the main impact is the free market where we have the tariff reviews in transmission, that's the biggest effect and in distribution we have the implication of tariffs, and it's important to highlight there is the risk of devaluation risk and then there is the consumers getting impacted by high values, and we have a fulfillment of a device -- regulatory device in fiscalization [ph] while that obliges us somehow to account for this risk of non-payment in the first -- as well these three components of the business, I think that we have a positive data, we continue to employ new machines up until the end of the year -- Belo Monte, we will get close to 7000 megawatts. We are here in transmission, while we are aggregating new RAP fetching million a year in transmission. This is a brief comment here about the business of the company, while there are some operational highlights. Regulation, as you can see, Page 5, this corresponds to the recognition of GAG, the improvement and that will impact positively in the revenue of the company of R$1 billion per year, this is resulting from the improvement of GAG1 of the Eletrobras projects that was renewed for generation. And we can observe that in the quarter, we have a positive -- we have all the experiences that has been -- what we haven't accounted for the expenses actually, and we need to study to prove the investments that were done and that will be done. So we can work with revenues that in this quarter we have not yet considered. The important thing that impacts the result of Eletrobras is the refill prices. For Angra 3 with a CNPE recommendation that you can appreciate the worse of decommission of The Ministry of Mines & Energy, and other ministries as well, planning etcetera. And we get to the conclusion that for us to have -- there is a time worse for Angra 3, the tariff is recommended for R$480 megawatts hour. The recognition that this is done with our own capital and the third-party capital will finance -- is financed by [indiscernible]. So somehow from 250 to 480, it corresponds to the recognition that the structure will change. And it will not be a condition that might be established in the market. So because of this, we're only considering the capital structure and cost of finance, we get you this value of R$480 megawatt/hour, and if it's within the range of tariffs of international projects that were concluded this year. We will present the case as R$2.8 billion in investment in transmission and generation for the SPE project. We might have the disinvestment, the private division of the four distributors for Eletrobras Equatorial, Eletrobras Energisa; Acre, Rondonia and Eletrobras Roraima; and also the investment here of SPE, we have 18 lots in the stock exchange and you can see a sale that would be R$1.3 billion. We will report the reduction of our indebtedness to 3.3, and we can see that the goal for the PDNG is less than 3 for the end of the year. There are the no-recurring items that impacted in a very important way the results of this quarter in 2018. First of all, there is a new way of accounting for the revenue and expenses of Proinfa. We are basically getting the margin [ph], we can see that in the revenue and the expenses, we can see the demonstration and it might be that we are decreasing the expenses or the revenue on in fact, we have to see the impact of the quarter and we had an impact of R$810 million. We have a second element here, for compulsory loans. I want to demonstrate that we have done the work to evaluate other risk and the values related to compulsory loans. So we are doing a reinforcement of a provision that is R$1.3 but the R$1.389 billion is related to the completion of the base review work that we've done last year. R$1.3 billion out of the R$1.5 billion, it's a very difficult review that is ongoing on the justice department and we are undergoing the second process of evaluation that will reevaluate each of the small process; so there is an additional provision of R$1.3 billion for this quarter. So you have the provision that has to be done, and it's complemented by another three. First related which is the GSF Sobradinho of R$140 million, Sobradinho is differentiated, and is incurred in the Chesf, and Chesft as a whole is R$301 million, the GSF Sobradinho R$241 million. We have the SPE prevention for R$418 million, you can see the value of the 7 lots, these SPEs or a great deal of them had values, the results of the valuation that was done by the company, as well as the advisor, less than it was written down and that was incurred. So we haven't sold those SPEs and we are provisioning the value of the possible losses of R$418 million. The hypothesis was just so selvy [ph] the things that we haven't sold them yet. And if I knew we have the TBU would be thermal electrical power plant of Santa Cruz again, here we have an onerous contract and the accumulation of the results from the generation of the thermal electric and this quarter the impact is R$328 million. Well, mainly Page 6, and it impacts Page 7. Now we can see the financial highlights for the third quarter per say. We have on top the values reported, the IFRS, the net revenue we get to R$8,936 million, a drop in the EBITDA getting to R$189 million or as off of 92% and the result here a loss of R$1.600 billion, a drop of almost 400% in net results for the IFRS. While in this stage we're reporting what we've just shown that is the main causes for these losses. The ND IFRS, we have the Proinfa, so we can evaluate what we have contingency interventions that is compulsory loans as I explained, and the result is R$2 billion. The onerous contracts impairment in the third quarter is R$126 million, but that last year was R$1.400 billion. I didn't get it here but it's important to compare. We try to remove the receivables for the constitution between revenue and expenses, it is relevant for -- in third quarter of last year it was R$1.400 billion and in the third quarter of this year it is minus R$126 million. We have an investment R$400 million, and in the third quarter of 2018 you can see the revenue as well, the net revenue managerial, EBITDA in managerial, we have a growth of 7% as we are going to mention right now in the net revenue and we have a profit of close to R$500 million. Well, basically in the next page we have the same data but it's important to mention that we are reporting in this third quarter through a revenue of R$1 billion and we have accumulated in this third quarter -- if you compare it to the results of the last year, we have a drop in basically R$1 billion. And if we see non-recurring events, we have an event -- a result of R$740 million that is positive with the drop of R$89 million in comparison to last year. Let's go to Page 10 to report the variations in our revenue, the gross revenue; the cost of EBITDA and the revenue. We start with reported revenue, IFRS, we have been recurring issues, we are talking about RBSE on the left hand side, and we have mainly and this month -- this new treatment, this new accounting of Proinfa of R$642 million as you can see on the left side. So we start with revenue of R$8.974 billion, standard gross revenue and it varies 9% getting to R$9.746 billion for the third quarter of '18 with a variation in transmission, generation, distribution and other revenues. You can observe that if we just remove the non-recurring effects due to growth of 3%, that the correct is to evaluate this revenue as a whole, internal. Trying to facilitate, we have 4 lots for generation, O&M and exploration, below these are the renewed constructions for our generation and transmission and we have all the others transactions for generation and transmission that follow the same regime of the market. We have a small variation on OEM, it's basically readjustment. In exploration, we have growth of R$334 million and basically a growth of 8% is a positive fact in revenues in Amazonas GT R$252 million, it's still invoiced until the end of the last year -- this year PLD from Furnas, and also termination of contracts, and Eletronorte, the negative minus R$75 million efforts and reduction in contracted energy; and this is for compensation issues. In case of transmission, we have a drop in the O&M. There is a drop in the Furnas contract, R$127 million, more negative the main negative is Furnas. Then we go to exploration, we can figure R$84 million and here is the positive aspect of Furnas from SPE Transenergia Goias by R$ 10 million, the annual update of the AAR for the Subsidiaries, 2.6% on average, the aggregated AAR R$14 million. And we have Eletronorte with R$34 million in return-on-investment, and it's closer to R$84 million with transmission and exploration. In distribution we have the readjustment in tariffs; comparison to last year, there is an important readjustment plus the tariffs increased and the tariff flags that we did over the last semester. There is a year of providing the service of the asset, we have an effect on the distributors. We have a small effect, the service provided for Electronorte to -- for Belo Monte and the distributors off -- there is an increase of cost of tariffs, while the [indiscernible] unitization of R$24 million. So bottom-line, we had these revenues. We can observe that our problem here is related to the costs, specifically due to provision for prevention [ph]. On Page 11 we have the operating costs. Variation, a reported cost, a drop of -- well, the IFRS cost, a drop of 11% and here it's important that since we have the effect of the Proinfa of R$128 million, we are doing here removing these effects non-recurrent, and we have an addition of this cost. So why do we have these variations? You have the few for the construction of energy, there is an important variation of 97% increase and here we're talking about basically the feel for electric production while Amazonas, here GT, the reduction of R$44 million, the start of the generation, the construction of Mauá 3, we have Furnas with TPU Santa Cruz, which is an increase in fuel price and it is R$53 million. These three observation and a few increase of R$551 million, it accounts for this negative effect. The energy purchase for resale, decrease in R$191 million, we have a fundamental aspect that determine the prioritization of Ceron, which is a reduction of R$200 million, and Termonorte's physical guarantee, there is the -- the contract was terminated for Electronorte, Furnas with a reduction of R$64 million purchased from CCEE, and Amazonas GT, R$44 million in reduction with a higher generation of Aparecida and Mauá. There is Ceal, short-term energy acquisition, and Reserve of R$11 million. And as we said, we are talking about good things in the reduction and increase of companies that are distributors, and we need to -- we only invest process of prioritization and in the fuels of R$561 million, the main aspect here and the main thing with CCC expenses in less than R$100 million. Now let's talk about Personnel, Supplies, Service and Others. In the same way, we have on the list the comparison of the three quarters '17 and '18, and on in the middle it would be the 9 months of '17 in comparison to the first 9 months of '18. The numbers are similar in both cases, we continue to have reductions of personnel, cost of personnel, we are already comparing with a readjustment of 1.7% in our collective bargaining agreement. We have a reduction in materials, supplies, and in supplies basically we have here cost related to Amazonas CCC and Eletronuclear; here the process in the schedule -- in 9 months we continue to decrease 4%, so minus 5% and minus 4% in supplies, we have both the issues being addressed. The main has to do with services, and I wanted to highlight the consulting services. These are services that are non-recurring but they are fundamental so that we can have a more efficient propaganda [ph] in the future but these are services that we report end of third quarter consulting and investigation -- conclusion of the investigation process, R$15 million. Final phase of negotiation, well, shared services. We should have R$45 million, it should be going on '19, we are implementing the service center while same thing. Here we did an improvement in the compliance with internal controls by Deloitte, R$6 million, and other consulting that we're not going to have to do frequently but we are in the process of concluding so that we can reduce the personnel cost. We have Electronuclear and Amazonas, the non-stop maintenance and the reduction in technical services and the scenario of services, there was a growth of 8% as you can see in the middle, in green, and we still have unfortunately, the issue of other losses and prescribed credits from Cepisa and Amazonas D, you can see R$21 million and R$94 million respectively due to the cut factor. And once we sell these companies, this math will be more comfortable. Well, now we go to Page 13, we have the operating provisions regarding Chesf and GSE, there is compulsory loans of 339, everything that I was talking about. While this is IFRS 9, I think this is related to the provision for the consumers that change in the regime where we have to account the perspective to 30 days, and this impacts strongly the distributors; in our case, we have the tariffs, and we have this effect of R$123 million of value very close to distributor. Onerous contracts, you can see here a comparison between the three quarters with the cost of Angra 3, at R$236 million, negative 80%. So here is the RF contracts. We have here the 418, the provisions and rehearsals for lots as an investment, and with that we have this adjustment of the fair value of SPEs as impacted and it's -- well, on Page 14, we can see -- I said that the priority of the company, we cannot start the process of negotiation that would -- and before insurance while the certainty of values, it was questioned by the -- well, by everybody, while we have the risk management work and the second one is that besides the risk -- well, we have two steps; we have the Step 1, reassessment by legal counsel of the risk classification; and Step 2, the recomposition of the lawsuit; and we have thousands in these processes and there is also -- there is one-to-one of the contracting, I was going through access and we have to the value of R$1.4 billion. And we need to have a proposal of actions and now I guess to R$18 billion, and our clear strategy is to continue specifically with these Superior Court of Justice, we have the reevaluation of the legal proceedings being evaluated by SCJ, Supreme Court of Justice. And we might have a new result in the next year. And we have the consulting companies and probably in the next quarter we will report to you the results of the works of these consulting companies. So we can now face in a definitive way the provision that we have and it was fundamental for other works that we will do -- that we did for the improvement of culture and all the works that we've implemented. On Page 15, well, the result of our provision. We are reporting a drop of EBITDA of 92%, R$2.060 billion where we have non-recurring items -- while we have RBSE, the highlights of the contingencies, the onerous contracts, the impairment and the provisions from ANEEL CCC; you can see all that at the top left corner. In this year of '18 we still have the agreements with AGEPISA which is R$139 million, the agreement that we did with the [indiscernible] company of -- we have -- if we remove the non-recurring values from recurring, we have from R$1.4 billion to R$1.7 billion, we already talked about the revenue, we talked about the tariffs, the assets, the invoicing of the revenue of Amazonas GT R$252 million, and the results of our shareholdings, specifically in North Energy. So we had the best increase in this quarter, and it was the best result in our shareholdings. The standard operating costs, R$260 million, we have Amazonas D, GT, the cost for fuel consumption so that Amazonas GT could word with R$52 million, and in the case of fuel at Furnas which is R$53 million. And we still had energy purchased with -- for resale at R$191 million. And we have here the standard PMSO; we have R$45 million which is consulting services for the Holding Company. CEPISA, we already transferred it to [indiscernible], there is the Amazonas D cutting factor and the indemnification practice by Furnas Tractebel; and these are the main PMSOs. And these standard operating provisions, PCLD for consumers and resellers, there is an impact of R$342 and other provisions, we hedged [ph] R$30 million. Page 16, financial results. We had the result varying 5% come to pace [ph] for the negative year with negative R$938 million, this year was negative R$988 million. It is impacted positively by the increase in revenue, and here we're talking about -- the impact is on the exchange rate and here you have [indiscernible] mainly that we always say that this is an important add. Now, it's here we have the debt charges, not only decreasing, the amortization of loans but here the indicators. For the inefficient of our factors and other expenses, financial expenses, basically losses with derivative and in case of Eletronorte, due to the fail in Selic rate and in the American structures change [ph], and the monetary restatement on provision for compulsory loan for Eletrobras, R$197 million. This impacted this variation, and if give update for the monetary statement. Page 17, here is the rally of results. We were positive in the first quarter, positive on the second, very negative on the third; and third is the quarter where you can see -- here we have issues due to the R$2.124 billion of operating provisions to us, the losses in the distributors of R$998 million. In the 9 months if we have a comparison, there is a continuous sum we've left here, it's less than 24% but we have a reserve which is for the fourth quarter and here in the third quarter we have the negative effects. I'm going to do the report of the actions. I would like to report to you the result of the company; the company is focusing on -- in generation and transmission, and still talking about the drop in the net revenue, a great deal of that is due to the reclassification of the big expenses of Proinfa which is about R$2 billion. So we're saying that the PMSO is dropping here, there is a reduction of the cost in approximately R$236 million, offset by 1.7% increase in ACT [ph]. And the financial result is stable with a variation of 1% and the net income drops 16% over in the comparison of the 9 months from R$4.124 billion to R$9 billion [ph]. So this seemed as a target, the focus of leaving the distribution -- the business of distribution and this is what I only should talk about on Page 20. I will talk about -- well, Cepisa and Ceron, they have a new owner, Acre and Boa Vista. Their next revision is that until December 5, we will do the transference. These companies and the four companies, they will allow Eletrobras to reverse the liabilities and we will have -- we will do the reverse with the distributors on the short-term liabilities with a positive effect on the results of R$2.9 billion. And basically the difference is R$5 billion, so the actions for the reversal here is R$8.6 billion. We will do this in the account for this in the fourth quarter, and it's not just that. Here on Page 21, we account all the negative effects of the SPEs that we did not sell. We concluded the business while two of the big operations; Chesf and Eletronorte, but the revenues if we account with cost, it's R$400 million. While we have R$1.3 billion in that cost and with a potential positive net result of R$400 million. There is deadlines we might not be able to draw the operations this year but out of those that we can do, the R$480 million would be mitigated by the net revenue of R$400 million. As I said, the accounting of GAG melhoria; in the third quarter we had -- we received -- we fought regulatory a lot to have this recognition of -- we lost over R$1 billion in this third quarter of R$264 million. So it's basically R$90 million, monthly we can see Chesf R$60 million, Furnas of R$29 million, and Eletronorte of R$0.7 million, but this is just an advancement. The company has to verify the costs of the investments with this accounting of revenue. And finally, I wanted to say, the importance of the tests of impairment that we're going to have in Angra; Angra has two issues: the new test that might be offered to the entrepreneur and the deadline for the conclusion of this work, it has to be operating in January trend [ph]. But we have to do everything, we have to do the bid and then -- on January 1, 2026. And now we have a deadline up until the next year to do the bid and we are working so that we do this in the first quarter of next year, and this will be done by the accounting area and our auditors, and the operating provision reversion of R$11.3 billion, this is what will allow us, it's very positive for the future and this is the part of the company. I just wanted to go very quickly over the business and management master plan, the 2021/22 operational excellence challenge. As I said, I'm on Page 23; we have here the Go Live of CSC was already worked at 86% realization. This is not just cost reduction, we have to take a look at increase in revenue gains or from GAG improvement, R$1.03 billion. We already talked about the resolution of CNPE and the ProERP that we start while we are in testing. We will start this issue in January so we don't have any problem with the accounting, and so we start with all the companies on January 2 on January of 2019, and this is a single operation objective ProERP for the Eletrobras Group. This is extremely important so that the holding can act as a holding and have instruments to work as a holding. Here I wanted to report, do you know this -- the reduction of cost, basically this is the second phase of our plan, we have 732 employees disconnected, a reduction in cost as executive fee [ph]. We have the program with a very low adhesion, and we are in the last week. We have 200 people -- extra 200 people that want to adhere to the Extraordinary Retirement Plan and the Order Consensual Dismissal Plan. While of course the future of the company, the privatization, they end up determining a high or low adhesion but anyway, the work of CSC and the ProERP, we will have -- we will exceed people in the corporate area and we will continue -- we hope that we increase the additional duty retirement plans or the consensual dismissal plans until Friday but regardless of this, this is a target of the company, reduction of personnel. Now, just so we don't lose the sight of what we already achieved; on Page 24, we try to show you that from 2016 where we started this operation, we had 26,000 employees, that cost R$6.5 billion in payroll. We already went through the privatization of CELG, the PAE, PDC the first part that we did very little in the first quarter, and now privatization of the four companies: Ceron, Cepisa, Acre, Boa Vista; these are 3600 employees were are transferring, they enroll to their new private operator. We are transferring R$700 million in payroll and when we look at this, where we were before the prioritization of Amazonas. While looking at the company of -- the start of the company, we already decreased 18,000, 82% less. Now in payroll, we removed from R$6.549 billion, we removed with this transfer R$2.156 billion or 33%. There is still free bricks here, the privatization of Amazonas estimated for 2018, 1,700 employees; the privatization of Ceal with 1,200 employees, 1,266; and we still are going to do for the PDC the second part but we have a potential of reduction of another 2,281 with a personnel R$3,660 in payroll, we are getting close to the goal we went over the half and we went to get to 12,359 with a payroll that is less than half of where we head. Same thing on Page 25; what have we done with Material, Supplies and Others. So, we have for example, rent, the company Eletrobras is going on the 23rd to unveil a building, we're going with the last people, we basically have 700 people there and this -- what we have in Rio de Janeiro, this building -- with one building we have a reduction of R$2 million per month. So with the rent, insurance, traveling, safety, drivers, we removed CELG with R$650 million, management initiatives R$376 million. The privatization of the 4 companies gives the new private operator, R$863 million. Every semester, we have the three bricks that we have to continue, R$750 million per month, Amazonas; Ceal, R$160 million; and another management initiatives of R$109 million. We started in 2016 with MSO, 5,086, and we're getting to 2,969, a reduction of 49%. Good, as you can see. Page 26. We are reporting the leveraging, we -- the net debt. We're getting to 3.3. We will see that we increase the net debt, and this is something that we are going to give to the new owner of the distributors. Remember that we have to increase in debt and some credits. The bottom line is -- you can see here below the EBITDA, over the last 12 months, without the distributing company, just removing the distributing company, our EBITDA increases because there is EBITDA of the distributors. In a recurring way, it's negative because it had losses. And that they had a PMSO that was higher. So we increased the debts strategically. I'm concluding this quarter with a net debt that is a little bit below R$20 billion, R$19,975 billion. On Page 27, I can show you the investments of PDNG. We can see here we did, in the third quarter, basically, R$1 billion. We are -- have done more in the second semester than in the third. We got to R$2,830 billion in the year in accomplishments and over the 9 months. Without compromising our financial discipline, all the works are being concluded. Well, the last two pages, just to show the effects of the privatization of the distributing companies. I want to highlight the data of -- the date that we're going to transfer the control. So Amazonas, the 27th, and it was suspended by the federal government. Well, this is, what I have to mention, I want -- I remain in your service with my colleagues as well in New York and the U.K. And well, that's it. Thank you very much. I remain available for Q&A.
Operator: [Operator Instructions] First question is from Andre Sampaio from Santander.
Andre Sampaio: I wanted to ask a question about the process of Amazonas Energia. We had the news about -- well, a presentational video of resolving this issue. And you might do the liquidation process. Should the bid might not be successful, could you talk about the -- what the government might do? And the second question about the issue, if Ceal would be approached by this provisional measures from the government.
Wilson Ferreira Junior: Well, Andre, we know that we have -- we are the interested party in this provisional measure. However, we share with the government the impact of the provisional measure or the PL77. Understand that there is set. First you get to this point with the privatization of distributing companies. There is an important agreement that we will have Petrobras, a great deal, a part of the debt. We'll decrease once we have the privatization. So obviously, this is a very dear team to Eletrobas government as well and to consumers. Of the 6 states, the 4 states we already had privatized and the two that are remaining, they're going to benefit from the investment, the reduction of tariffs and the debts. This is positive and the government from -- with which -- with whom I have interacted, it's fundamental that we conclude this process with Amazonas and Ceal. I understand that there's an effort from the company with this provisional measure. I don't know how to say this in a correct way, but we need to restore some of things that were there. And I understand that this is being treated in an adequate way by the government. I imagine that this is an agreement that we are doing with the government and the public interest. So the expectation is that we -- once you have provisioning -- the provisional measures for the privatization. The Ceal, well -- and Cepisa as well, there was no element in these two companies that were in the senate being discussed.
Andre Sampaio: So Ceal, do you have the ruling of the issue presented by Lewandowski, the minister, that it might be privatized? It has legal investments to be privatized.
Wilson Ferreira Junior: The legal issue for it to be privatized, Ceal -- this is being hindered, such as discussion that is happening between the federal government and the State of Alagoas. The company has nothing to do with it. Actually, when it was federalized and when there was an authorization for privatized, there is a difference that is allocated. And in the decision, they requested the privatization of the company. The same issue we see in Cepisa and Ceal, and we see that there was in the concession and the company was privatized. The discussion between the state and the federal government continues. The privatization that we're doing in Ceal reduces the tariffs, the reduction of debt by RGR of the company, an investment of that was over R$700 million. Everything is good. And we expect that in the case of Ceal that the Superior Court of Justice will allow the privatization of the company. I'm very optimistic in regards to that perspective and in the conclusion of this issue.
Andre Sampaio: My concern is not having this solved this year and the provisional measure might be to delay this for the next year but that is what I needed.
Wilson Ferreira Junior: We are on November 13. The year still has 47 days. I think we will get this done.
Operator: Our next question comes from Mr. Vitor [ph] from Brasil Plural.
Unidentified Analyst: My question is for Wilson. If the question is personal, so feel free not to answer it. But I want to understand how are the talks of the president? With the new elected government, we have a better visibility in Petrobras and Banco do Brasil. But we still have not had any news from the media in regards to -- what are the plans in regards to Eletrobras? I want to understand if there is a dialogue, if Wilson will remain in the job? Well, I wanted to you to talk about this, but feel free to say that this is not the right moment to answer this, I understand. That's my question.
Wilson Ferreira Junior: Well, it's a good question. At some point in time, we can try and answer it in an organized way. By our calculation, in Petrobras, we've done work that we are sharing with the representatives of the candidates, the situation of the electric sector and the impacts of the electric sector in Eletrobras. In the case of electric sector, the representatives of the government, Bolsonaro, it was two people that we've -- they've interacted with us. The main one is Luciano de Castro that is part of the team, the transition team. With Luciano de Castro, we've maintained a relationship. So he has followed up the material that was shared, our challenges to him and all the other candidates. But obviously, now he has a mission, he's analyzing this for the transition group, and he has interacted with us. He talks to me frequently, and I maintain him informed.
Unidentified Analyst: Well, if I may, you've seen the formation of the government of President Bolsonaro, the nominated ministers. And from then on, you confirm or not the structures of subordination to that ministry. So the people that are confirmed, ministers, are getting invitations through their internal teams or the companies related with the ministry. So formally, you know the minister of area will be.
Wilson Ferreira Junior: No, I do not know. I do understand that the minister will have the prerogative of having access to the information that we are sharing and to finalize or not the invitation. So precisely, there isn't a formalization of the invitation. And in regards to what was done with the team of President Bolsonaro, it was positive by maintaining him informed of our challenges and our problems, our concerns, and we've been supported with everything that we've told him. And now taking a look at it from a personal standpoint, you know that we are here to restructure the company. I think that we are advancing in this process. In the next two months, it will be very important. And if there is an interest in continuing with this work, even with the capitalization process of Eletrobras, of course, I'm interested in continuing my work.
Operator: Next question is for -- from Marcelo Sá from UBS.
Marcelo Sá: Two questions. About Amazonas, first. Well, it was an immediate, the provisional measure that will address the issue. Here, we are talking about that Eletrobras would assume more debt from Amazonas to make privatization more viable. To assume more debt from Amazonas is a possibility because I understand that this might change the crisis at the PNDF. So is that a possible scenario? That's the first question.
Wilson Ferreira Junior: So actually, all these companies they were evaluated in June of 2017, updated the evaluation until December of '17. So these are the numbers that we have. The companies had variations. In the specific case of Amazonas, there are two things that impact Amazonas. Amazonas, there is a need of a specific treatment in terms of cutoff factors that impact the company. And here is the specificity. It had, throughout this period, the process of deverticalization of Amazonas distribution, creating Amazonas distribution and generation. And it has actions that predicted what we have done with Eletrobras. So that these are processes that we can conclude. What we have here, we're concluding this process. We have debt that has been allocated in Amazonas. And the correspond, they're not owned by Amazonas GT, this is the work that we are concluding. And we've received questions about this in the data room, and it's important that we take a look at the company. It would be very difficult to sell, but there are things that are not from there, from that company and there are things that are a product of our agreement done with Eletrobras that are now being materialized and determine movements. We don't have the authorization. There is no implementation of the debt, whether if it's around the assembly that determine the process or whether CPPI 20 and 28, we have to reflect the limits that were established. And now considering the agreements that we've done with Petrobras and the process -- and the company, these debts will be dealt with. So that's a possibility that we can lead Amazonas with a debt position that is better than what it is right now. And the other actions are the product of what Petrobras has done predicted with the CPPI. We will have this clear until next Monday.
Marcelo Sá: And the second question is, understanding a little bit about the issue of Eletrobras buying the distributors. Well, you've done the evaluation report, and it was a higher value than the report that was published in the case of Cepisa. And so it was close to R$600 million. So given this evaluation, Eletrobras should have decreased the debt to a stake of 50% in this company. Cepisa, we estimated R$600 million and R$700 million to R$30 billion so you can have 3% stake in the company. Have you done an evaluation, if Eletrobras wants to be a part of these companies? Or is it too early to say?
Wilson Ferreira Junior: Marcelo, I know Cepisa -- we have a deadline of until 180 days. Cepisa, we had a talk -- last talk -- last week. So now these -- they're being analyzed, these reports and these working papers. Well, briefly, we have to work with a board. We have a commission with a management board that is connected with strategy, investment and -- the investment and privatization. We will do this evaluation quickly. Now we can only work with Cepisa. In Ceron, we haven't received because we want to transfer the company on these areas. But until then, it will be an object of our analysis and reminding you that there was an important initiative that we had in the past with Cemar, and we have to see this business plan of the company to evaluate if it's worth maintaining the capitalization perspective or maintaining the debt and not really having the rear perspective of receiving. But now we have a deadline, and we are working with these new deadlines.
Operator: [Operator Instructions] We close the Q&A session. We return the floor to Mr. President, Wilson Ferreira Junior, for the final consideration. Mr. Wilson?
Wilson Ferreira Junior: Well, I would like to thank you, all of you, that participated in this conference. And I was -- it's difficult to work with a company that had results that I consider bad. But the important side is the reinforcement that we have in the activities of compliance, they are very tempestuous -- which seems to be very tempestuous with the negative -- and I have -- the unions, I think that this demonstrates the care that the company has given the issues that we've gone through, and we want to provide information for all the markets, especially with the investor, capital investors, this is positive. Second thing is the perspective. We went through a bad quarter, but we are starting to reap what we sow, a great deal of the work that we've done thus far. We have the perspective of restarting the works in Angra. And actually, as an engineer, the impact potential of this restart of the work that we are going to have an Eletrobras that something that is making us very optimistic. In the same way, looking at the glass half full, we look here the transfer for the first time of 25th SPE. As I told you, we are in processes of incorporating some. We have some positive privatizations. To consolidate this result with Chesf and Eletro -- Furnas, Eletronorte and we became the controller, and we are going to create a fit company, and we are going to incorporate that directly for some of these companies. And we have here a positive effect in the next quarter. And it's important -- well, it's R$1 billion that we have a perspective more. Then, of course, looking at the distributors of CELG D, we sold 5, and we are optimistic that we are going to work in this year. And we have another story. Conclusion of projects. As I told you, we got a lot of work. I remember that it was 29 with Chesf with delayed work. Chesf, this year, delivered the most finished work in Brazil. Basically, 30% of all the transmission system of Brazil is due to Chesf, and we are very happy that the company is working this way, and we are overcoming our promise. Of course, we have our issues, but we have to take a look at the perspective of the company as a company. And this is a company that has a capacity to generate results in a consistent way. And our -- in regards to our plan that we have over the next two months, the main elements that will allow us to be more productive, which is the conclusion of RP and the shared services. This company is another one. The holding is an important agent, and I am very optimistic that Eletrobras will be able to support work that we're doing, that we're delivering and the final stages. And we are here getting to the closure of 18 machines of Belo Monte. We are going to finish Belo Monte next month. And we have good agenda, and you can count on Eletrobras for this. Once again, thank you, all the investors. And our meeting -- thank you very much for participating in this conference call.
Operator: At this moment, the teleconference of Eletrobras is closed. Thank you very much, and we thank you for your participation. Have a good afternoon.